Operator: Greetings. Welcome to the PROS Holding Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference call over to Belinda Overdeput, Director of Investor Relations. Please go ahead.
Belinda Overdeput: Thank you, operator. Good afternoon, everyone, and thank you for joining us. Our earnings press release, SEC filings, and a replay of today's call can be found in the Investor Relations section of our website at pros.com. Our prepared remarks will also be available on our website immediately following the call and will be replaced by the official transcript which includes participant questions once available. With me on today's call is Andres Reiner, President and Chief Executive Officer; and Stefan Schulz, Chief Financial Officer. Please note that some of the commentary today will include forward-looking statements, including without limitation those about our strategy, future business prospects, and market opportunities, and our financial projections. Actual results could differ materially from such statements and our forecast. In particular, there remains significant uncertainty around the duration and impact of COVID-19. This means that results could change at any time and the contemplated impact of COVID-19 on the company's business results and outlook is the best estimate based on the information available as of today. For more information, please refer to the risk factors described in our SEC filings. PROS assumes no obligation to update any forward-looking statements to reflect future events or circumstances. As a reminder, during the call, we will discuss non-GAAP metrics. Reconciliations between each non-GAAP measure, and the most directly comparable GAAP measure to the extent to which available without unreasonable effort are available in our earnings press release. With that, I'll turn the call over to you, Andres.
Andres Reiner: Thank you, Belinda. Good afternoon, everyone, and thank you for joining us on today's call. As I reflect on 2021, I'm thankful to our team for what we've accomplished despite the disruptions of COVID on our business and our communities. ARR increased 9% year-over-year and subscription revenue by 4% year-over-year. Our gross revenue retention rate for the year return to pre-COVID levels and was greater than 93%. I'm proud to share that we generated over $33 million of free cash flow improvements year-over-year. I'm also pleased that EveryMundo team joined the PROS family. They share the same passion for innovation and customer success as us. I'm confident that because of our passion for innovation, we have the best digital selling platform in the market. We've been continuously innovating for over 35 years to help our customers today, five years from now and 10 years from now. In 2021, we continued our heritage of innovation with the launch of the PROS Platform. I believe we deliver significantly more measurable ROI than anyone in our market. Value assessment we completed with participation from more than 100 customers showed on average 6% revenue improvement from the use of our platform. Also believe that we have the fastest time to value and we're getting faster. Our new prescriptive activation packages helped us drive an 18% improvement in time to value in 2021. In fact, industry analysts have also validated our market leadership position with 15 company awards and accolades in 2021, including leadership positions in G2 for pricing software, the Gartner Magic Quadrant for CPQ and the IDC MarketScape for B2B price optimization and management. So proud of this recognition of our incredible innovations. In Q4, we welcome new customers adapting the PROS Platform. B. Braun Medical, a leading manufacturer of medical technology and pharmaceutical products selected our Smart Price Optimization and Management solution. This solution equips B. Braun to respond quickly to changing market dynamics, drive higher win rates and improve revenue and profitability. Our rapid time-to-value and proven record of customer success are key reasons why B. Braun selected PROS. Rockwool, a manufacturer of stone wool products also selected PROS in Q4. Rockwool will use our Smart CPQ solution to streamline their selling process and quickly respond to customer quotes. Our ability to support direct and digital sales was one of the many reasons Rockwool chose PROS. We're thrilled to welcome B. Braun and Rockwool among others to the PROS family, and look forward to partnering with them. The PROS Platform is also inspiring existing customers to migrate to the cloud. Clariant, one of PROS first B2B customers, and American Standard, a customer since 2012, chose to migrate to our Smart Price Optimization and Management solution in Q4. We’re proud of our partnerships with Clariant and American Standard and look forward to continuing to drive long-term value for their businesses. As a result of the pandemic, businesses around the world are increasingly prioritizing digital initiatives that strengthen direct customer engagement and build loyalty. This is front of mind in the airline industry, where airlines are anticipating bookings through digital direct and direct connect NDC channels to grow by 12 percentage points in the next three years, while the bookings through offline, GDS, and other channels decline. Additionally, airlines interest in offer personalization has nearly tripled between pre-COVID and the recovery phase. With PROS Dynamic Offers, PROS digital retail, and now, digital offer marketing solutions, PROS is extremely well-positioned to help airlines deliver on these objectives. PROS Dynamic Offers empowers airlines to create, price, and distribute personalized fare, seat, and ancillary offers through any airline web, mobile, or direct connect NDC channel. PROS Digital Retail takes the Dynamic Offers solution one step further by adding our internet booking engine and user interface, giving airlines full control over their customer experience from the offer creation to order management. For example, in Q4, existing customers like Air Europa and Gulf Air expanded their partnerships with us to fuel revenue growth through their digital channels. Our acquisition of EveryMundo’s digital offer marketing solutions accelerates our vision to optimize every shopping and selling experience. PROS now provides brands greater control over the end-to-end customer journey with more meaningful interactions in the research and shopping phase. These solutions help brands drive more direct customer engagement through dynamic webpages, offer visualization, and digital ad campaigns. In Q4, Air Baltic and Vueling, among others, selected these solutions to increase website traffic, improve user experience, and drive higher booking conversion rates. Before I transition to our 2022 strategy, I want to comment on our recent organizational change around the removal of the Chief Operating Officer role. This flattened organizational structure will drive greater speed into our business, more consistent execution and further empowers our teams to drive success. I’m confident these changes will better position us for long-term growth, and I look forward to working more closely with our amazing teams to extend our market leadership position. In 2022, we’re continuing to invest in the three key pillars of our strategy. The first is driving market adoption of the PROS Platform. We’re accelerating market adoption by increasing our sales, marketing, and delivery investments. We’re going to be bolder in telling our story and sharing our customers’ amazing success. Additionally, we’re ramping up quota-carrying personnel and expanding our delivery teams to support our growth. Second, leveraging partnerships to accelerate our growth. We recently announced the expansion of our Microsoft partnership to accelerate mass adoption of the seamlessly integrated Microsoft Dynamics 365 and PROS Platform. We are also leveraging our ecosystem of systems integrators, like EY, to increase our global footprint and further capitalize on our growth opportunity. Our final strategic pillar is delivering exceptional value and an incredible experience to our customers. In 2021, our NPS scores reached an all-time high, above the industry average, and our gross revenue retention rates significantly improved back to pre-COVID levels. We featured 43 customer speakers during our annual Outperform conference. All these data points are a key testament to the strength of our customer partnerships and our passion for customer success. In 2022, we’ll build on our team’s incredible efforts last year. We’re expanding our prescriptive delivery packages to allow our customers to activate more use cases with even faster time-to-value. We’ll also continue to help our customers get best-in-class ROI and accelerate their expansion journeys with our platform. We enter this year well-positioned to accelerate our growth. We have the right people, strategy, and platform to capture the strong market opportunity in front of us. As I close, I’d like to thank our global team for their passion and dedication to driving customer success and broad market adoption of the PROS platform, while making PROS a great place to work. Thank you to our customers, partners, and shareholders for your continued support of PROS. With that, I’d like to turn the call over to Stefan to cover our financial performance and outlook.
Stefan Schulz: Thanks Andres and good afternoon, everyone. I would like to first welcome EveryMundo to the PROS family. We are excited to have them as a part of our team and to add their innovative solutions to our platform. Before covering our results, I want to comment on the overall business. We were significantly impacted by COVID in 2020 and 2021. We pulled our annual guidance in 2020, but reinstated annual guidance in early 2021, and I am happy to report that our results either landed within or beat the initial guidance ranges we provided towards the beginning of the year. Looking back, the impact of COVID lasted longer than we all thought, as one variant followed another variant. I am very proud of the work our team did to support our customers and deliver to our estimates. I am also especially pleased with the improvements to our free cash flow, subscription gross margin, and gross revenue retention. Now moving to our results, which do include one month of EveryMundo. Subscription revenue in Q4 was $47 million, up 10% year-over-year and $178 million for the full year, up 4% year-over-year and exceeding guidance. Total revenue in Q4 was $65 million, up 7% year-over-year and $251.4 million for the full year and relatively flat year-over-year. Our gross revenue retention rate was above 93%, a significant improvement as compared to approximately 88% in 2020. As a reminder, we disclose gross revenue retention rates not net revenue retention rates. Gross revenue retention does not include bookings from existing customers which can mask real customer churn. Our revenue retention rates continue to demonstrate the value our customers see in our solutions. In Q4, our non-GAAP subscription gross margins improved sequentially again and were 75%, while our full year non-GAAP subscription gross margins were 71%. We continued to see innovations within our cloud operations to drive greater efficiencies, resulting in margins that expanded throughout the year. I’m proud of our team for their efforts to drive these results which also positions us well for 2022. We continued to make progress on adjusted EBITDA throughout the year and are pleased with our adjusted EBITDA performance this quarter. Our adjusted EBITDA loss was $6.4 million during the fourth quarter and $24.8 million for the full year, beating guidance. Our full year adjusted EBITDA improved 10% year-over-year. Our loss per share was $0.16 per share, which also beat the guidance range. Our Q4 calculated billings increased 30% year-over-year and 15% for the trailing 12 months, which was in line with our expectations. Our total ARR in constant currency was $229.2 million at the end of the year and included $197.3 million of subscription ARR. Our subscription ARR is becoming the predominant component of our total ARR as we expected, and we believe it is a good leading indicator of our booking momentum. We will be including this metric along with our total ARR disclosure going forward. Free cash flow burn for Q4 was $1.3 million, bringing our full year free cash flow burn to $20.2 million, a $33.1 million improvement over last year. The significant improvement over last year was driven by a combination of improved customer retention rates and operating efficiencies. In 2021, we also recovered all the remaining customer payment deferrals extended in 2020 as a part of our COVID concessions. We exited the year with $227.6 million of cash and investments after the investment to acquire EveryMundo. We over-achieved our year-end target of adding quota-carrying personnel and including EveryMundo, we ended the year with 67. We expect to increase our quota-carrying personnel again in 2022 and believe we will be in the upper 70’s by the end of the year, although we are expecting the total quota-carrying personnel figure to drop slightly in the first quarter. Before I cover guidance, I wanted to provide insights into what we’re seeing in our business today. As I mentioned earlier, COVID has impacted our business for the last two years, and while COVID will likely still be a challenge for all of us in 2022, we are seeing signs that customers and prospects in the hardest hit industries are considering investments. Additionally, we have flattened our go-to-market organization, which we believe will drive more consistent execution. Together, these two changes will enable us to improve our revenue growth as we progress through 2022. As a result, we are guiding to stronger ARR growth rates in 2022 from what we’ve seen in 2020 and 2021. So with that, here is our guidance for 2022, with the stated growth rates reflecting the mid-point of the ranges. Total ARR of $246 to $250 million, a 9% increase over last year, and subscription ARR of $224 to $228 million, which would represent a 16% increase over last year. Also, we expect subscription revenue to be in the range of $200 million to $202 million, reflecting a 13% increase, and total revenue to be within the range of $267 million to $270 million, which would be a 7% growth rate year-over-year. We are expecting adjusted EBITDA loss to be in the range of $25 million to $28 million and free cash flow burn to be in the range of $21 million to $25 million, essentially flat to slightly down year-over-year. We expect both metrics to gradually improve each quarter over the course of 2022. As Andres mentioned in his remarks, we are investing in our sales, marketing, and delivery teams to accelerate our growth, and we also expect a higher level of spend for all of our people. Our team is essential to our success. We must compete in the current market environment to ensure we keep our best and brightest focused on driving value for our customers, while creating a place where everyone can reach their full potential. Turning to the first quarter of 2022. We expect subscription revenue to be in the range of $48 million to $48.5 million, representing 13% year-over-year growth. We expect Q1 total revenue to be in the range of $65 million to $66 million, representing 7% year-over-year growth. We expect Q1 adjusted EBITDA loss of between $11 million and $12 million. And using an estimated non-GAAP tax rate of 22%, we anticipate Q1 non-GAAP loss per share of between $0.24 and $0.26 per share, based on an estimated 45.1 million shares outstanding. In closing, I would like to thank our amazing employees and customers for their continued passion and support. We also thank you for your support of PROS and we look forward to speaking with you at our upcoming events. I will now turn the call back over to the operator for questions. Operator?
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Tom Roderick with Stifel. Please proceed with your question.
Tom Roderick: Great. Thank you. Good afternoon. Thank you for taking my questions here. Andres, so I'm going to ask you to take the first question here and, of course, feel free to chime in Stefan if you'd like to, but would love just a little bit more detail relative to the -- sort of tale of two world as you saw it here 2021. And what that means for, the way you've constructed guidance for 2022. And of course, what I'm talking about with the tale of two worlds is, the airlines have certainly been hit with some headwinds. They've been tough, maybe some signs of coming out of it, but certainly the variance more recently didn't help on that front. So, when you construct the 16% growth guidance on subscription ARR, would love to hear how you think about the relative positioning of growth for B2B versus airlines. And to the extent that airlines may continue to be a headwind here for a little bit, how long do you see that occurring, as you kind of look at the business?
Andres Reiner: That's a great question. As you can expect B2B is driving predominantly the growth as we head into this year, but we do expect travel to start to contribute more, but I would say, predominantly the growth will continue to be B2B. We still think on the try travel industry, the expectation is they get to approximately 78% of 2019 numbers by the end of the year. So, we are seeing signs of investment and encouraging signs, but we're not taking into our guidance travel coming back to the previous growth rates yet.
Tom Roderick: Fair enough. That's …
Stefan Schulz: I think I would add. 
Tom Roderick: Go ahead.
Andres Reiner: Yeah.
Stefan Schulz: I was just going to add, I think you'll see that building throughout the year, Tom, as you know, in the SaaS model, the bookings that we'll have throughout the year will start to layer, and then we'll start to see that impacting our revenue growth rates as we go throughout the year. So, we should be exiting with growth rates that are in access of the annual numbers that we provided in our guidance.
Tom Roderick: Wonderful. And pivoting that question, focusing a little bit more on the B2B success. And you're talking about making some nice investments on the salesforce to drive some of those successes. We -- perhaps you could kind dive in a little bit more on some of those sub-verticals because we've all heard challenges in supply chain and perhaps energy and chemicals have had some challenges, but listening to your conversation here, seems pretty positive and optimistic relative to the challenges those industries face. So, perhaps it's a longer term trend line of B2B e-commerce, that's lifting that underneath it, but yeah, I'd love to hear some of the catalyst underpinning the decisions that your customers are making and is digital transformation really, in fact, sort of outweighing some of the challenges, some of the industrials and cyclical industries have faced with supply chain issues.
Andres Reiner: Yeah. That's a great question, Tom. I think -- look, I think today in this market, if you think about inflation, supply chain disruption, the ability to drive dynamic price changes quickly are crucial, or it must have, I would say, look, we're historically a B2B company would change price maybe twice a year. I mean, in this day and age they can survive. I mean, their margins would be greatly impacted or they may not win business. So, I think the ability to be able to get to value quickly and be able to deploy technology like our PROS Platform is crucial. And we're seeing that demand across pretty much our target B2B industries, whether it be chemical, distribution, manufacturing, medical, they need for speed. And I did talk in my prepare remarks. I think the value that we generated -- I talked about in my prepare remarks around the 6% revenue uplift that we measured in over a hundred of our customers. I mean, to have that tangible ROI or leadership position, both in CPQ and in pricing, I think, there's been a lot of innovation that we've made to make our solutions drive faster time to value and to be able to measure the value and returns that we generate. I think we're in a very strong position to capitalize on this opportunity.
Tom Roderick: Wonderful. One last really quick one, if you don't mind. I noted in the prior press release you gave just about a month ago that EveryMundo was expected to contribute maybe $14 million, $15 million in ARR for the year that just passed. And if I think about the multiple that you kind of paid relative to that ARR, seemingly right around where your own stock is trading at. So perhaps that suggests they're growing somewhat similar. As you constructed the guidance for the ARR for next year, should we expect that EveryMundo is contributing any more than the typical than the average growth rate or kind of what we're seeing for the total projected ARR growth rate is loosely organic, if that makes sense?
Stefan Schulz: Yeah. So, Tom, the ARR growth rate for EveryMundo, when we acquired them was a little north of 20%. And we're expecting them to kind of keep that same momentum, as a part of PROS as well.
Tom Roderick: Very helpful. I'll jump back in queue. Thank you.
Andres Reiner: Thank you, Tom.
Operator: Our next question comes from Scott Berg with Needham & Company. Please proceed with your question.
Scott Berg: Hi, Andres and Stefan. Thanks for taking my questions and congrats on finishing the year well. I guess, I want to start off, Andres, with one of your three pillars. You talked about leveraging partnerships more and really wanted to kind of dive in on the Microsoft partnership. They've been a partner of yours for several years now, so it didn't surprise me as something completely new that you're going to expand that relationship with them. But what should we expect from this expanded relationship? It sounds like it's a little bit more for focused on go-to-market maybe than what we've seen before, but wanted to understand if that's correct, or if there's another angle that we should be looking at.
Andres Reiner: Yeah. Scott, as you've known, look, we've always said that Microsoft has been a very strong partner approach and I think this next chapter of our partnership is really formalizing more go-to-market alignment. I think there's been a lot of great innovation that we've driven jointly to the market. But now we both see the opportunity to really capitalize on the market opportunity by driving joint go-to-market alignment, both from a marketing, from a sales and from a continuing to drive joint innovations in our platforms. So, I would tell you said formal alignment with surround go-to-market results. And I would tell you, we have commitment top to top to, to drive success on the partnership and, we're excited about being part of the manufacturing cloud launch as well. I would tell you pretty much every opportunity we're working on, we're collaborating with Microsoft.
Scott Berg: Got it. Very helpful. And then, I wanted to ask a little bit more about your sales rep increases that were noted this year. I think the number was 67 and last year going to the high 70s. My Minnesota math tells me that the 15% to 20% growth rate, depending on where you land, that sounds like a pretty aggressive number relative to where your AR growth rate is. But it's probably more about how you expect your industry to rebound in 2023 versus 2022. Is that the way we should think about kind of the growth rate of the company, starting next year, getting back to that kind of upper teens to 20% level?
Andres Reiner: Yeah. The way to look at it is we see continued rebound. And if you think about a lot of the quota-carrying personnel headcount hires that will make this year, especially in the back half, will be really for next year. And we see the opportunities for growth both on the B2B side. But we also see travel starting to come back, especially for the back half of the year and contributing back. So, definitely that's our expectation.
Scott Berg: Great. That's all I have at the moment. Congrats again. Thank you.
Andres Reiner: Thank you.
Stefan Schulz: Thank you.
Operator: Our next question comes from Jackson Ader with JP Morgan. Please proceed with your question.
Jackson Ader: Great. Good evening guys. Thanks for taking our questions. Stefan, I just want to nail down kind of how you’re feeling about the environment maybe today versus when you gave us like a preliminary look into 2022 at that investor event in November. Are -- is your stance at least on the travel business a little bit more conservative than it was then?
Stefan Schulz: No, I don't think it's more conservative. I think, we did go through a lot of changes from the investor event to today. I think Omicron became a more serious threat than what we were really thinking, but at the time -- but there's been -- there's continuing good news even throughout that, that variant, that the travel industry is starting to show more and more signs of recovering. Just recently there's been in some news around Australia opening up again, which is fairly significant. Some other areas in Far East are looking to open up as well. And as you know, that's a big part of our business, our airlines and carriers that are in that part of the world. So, seeing that happen is really good news for us. So, it gives us some additional competence that there's opportunities coming down the line for that. So, as Andres commented earlier, we're not expecting travel to come all the way back, but we are expecting our travel business to contribute more so to our revenue results in 2022 than the travel business was able to do in 2020 and 2021.
Jackson Ader: Gotcha. Okay. And then just a really quick follow-up, just on that point on, on kind of travel coming back. Andres, you mentioned throughout 2020 and 2021, just needing to be a good partner renegotiate some of the deals and the contract with your travel customers. And I think part of that deal was also that you'd hopefully be able to capture more of the upside in travel mileage recovery. So, I'm just curious, what type of feet or mileage recovery is factored into this new outlook for 2022?
Andres Reiner: Yeah. So, right now, we're not factoring a huge recovery on the travel side from the renegotiated contracts. It would be too early for us to predict that based on the current environment, I would tell. You right now, as I said, we're at 55%, roughly 55% of 2019 numbers, and it'd be too premature to factor that in.
Stefan Schulz: Yeah. I think, to compliment what Andres is saying, a lot of what we're seeing in terms of opportunities on the travel side are new opportunities. Not exactly recovery of some of the concessions that were provided in 2020. It's really more around the new opportunities.
Jackson Ader: Okay. All right. That makes sense. Thank you.
Andres Reiner: Thank you.
Operator: Our next question comes from Nehal Chokshi with Northland Capital Markets. Please proceed with your question.
Nehal Chokshi: Yeah. Thank you. You may have already covered this, but can you give us the breakdown between B2B and travel for calendar 2021 on a revenue and billings basis?
Stefan Schulz: So, Nehal, yeah, we have historically not provided that split, mainly because there are a number of factors that go into it. You may recall when we had our Investor Day Outperform, we had United as one of our customers on the panel. And as you might think of United is a travel industry, you've probably heard when they were talking, it's a B2B solution that they have purchased and they're putting in into play. And so, for all those reasons, we really haven't broken it out. But what we can tell you is that, our travel business has actually been a drag on the growth rate for our ARR for all the reasons we were talking about with Jackson earlier. So, we're thinking that is going to change in 2022 and that travel will actually be a part of the growth. And a lot of that's going to be stemming from some new opportunities that we're seeing on things like our retail optimizer and our -- yeah, I'm drawing a blank now ...
Andres Reiner: Digital retail.
Stefan Schulz: Digital retail and dynamic office. Thank you. We see some opportunities on those product lines as well as some of our employees [ph].
Nehal Chokshi: Okay. Great. Thanks. Another question is that, so the 16% subscription ARR growth is in -- as is i.e. that includes EveryMundo acquisition. You just said that the $15 million ARR in calendar 2021 going 20%. So if I exclude that, I think you're talking about 7% organic subscription ARR growth, and I believe at the outperform event, you were talking about a mid-teen subscription ARR growth for calendar 2022, which was prior to the EveryMundo acquisition. So, A, is that correct? And B, if so, what has changed then to change that perspective?
Stefan Schulz: Yeah. No, I think that's a good question. I'm glad you asked that question because, not thing has changed from what we were saying back in -- at Outperform. Our ARR metrics, both on the subscription side and on the total side are consistent with one another. In other words, the base that we're talking about off of 2021 includes EveryMundo as well as the base that we end on 2022 with includes EveryMundo. So, you can actually think about the growth rate for both subscription in total being more or less organic.
Nehal Chokshi: Got it. So, when you were at Outperform talking about your ARR, you were already factoring in the EveryMundo acquisition, that was basically almost closed.
Stefan Schulz: No, no, no. The EveryMundo acquisition is included in the 2021 number for ARR, as much as it's included in the ARR metric for 2022. So, basically we're not getting a benefit of adding in EveryMundo business into our base number, if that makes sense.
Nehal Chokshi: Okay. Yeah. I believe I understand. Okay. Thank you.
Andres Reiner: Thank you.
Operator: Our next question comes from Chad Bennett with Craig-Hallum. Please proceed with your question.
Chad Bennett: Great. Thanks for taking my questions. So, just maybe one for Stefan, first. Just as we look at gross margins, specifically subscription gross margin, you saw a steady uptick throughout the year, this year. How should we think about that heading into 2022 and the ability to show some more leverage there?
Stefan Schulz: Yeah. So, Chad, I think there's going to be continued leverage in that metric as we go forward. Maybe not as much as we saw in 2021, but I do expect us to continue to see growth in that number. And certainly from an annual perspective, I think you'll see a much better metric on that line than what we saw in 2021.
Chad Bennett: And then, would you …
Andres Reiner: I would add, there's been -- one thing I will add on that. There's been a lot of innovation that we've done around our platform to drive efficiencies, the needs of adoption, and you're seeing those benefits show up on the gross margin line.
Chad Bennett: Got it. Thank you. And then, I assume, based on ARR growth expected to be ahead of subscription growth, which is what we want to see. Stefan, and I know you don't guide to billings or RPO, but should we expect that billings and RPO growth accelerates ahead of subscription growth throughout the year and kind of normal seasonality for all those metrics, obviously last year was a little bit odd, but just kind of normal seasonality to bookings throughout the year.
Stefan Schulz: Yeah. It should be less volatile what we saw all in 2021, to your point. I think as you think about calculated billings for next year, you're probably looking at a very similar growth rate, call it mid-teens is what you're seeing on subscription ARR. So, you can think of it along those lines. And I think to your point, it will be a number that grows as we progress through the year.
Chad Bennett: Okay. Got it. And then, Andres, just real quick on the B2B business. Obviously, the growth there was masked by the travel business last year, but how do you think about the growth rate for that business this year? And should we think about continued acceleration in that growth rate of that business this year, and then I'll hop off. Thanks.
Andres Reiner: Yeah. No, that's a great question, Chad. Based on the AR guide that we're providing, it implies that we're expecting that business to continue to accelerate from in growth, right? And I would tell you that based on what we're seeing, we feel very good about that. I would say last year -- one of the things I like to comment on is that we did see a lot of net new logo wins. 33% growth on net new logo wins and 70% of our bookings being net new, which is good to see. That's what inspires our confidence as we look at this year.
Chad Bennett: That's great color. Thank you much.
Andres Reiner: Yeah.
Operator: Our next question comes from Jason Celino with KeyBanc Capital Markets. Please proceed with your question.
Devin Au: Hi. This is actually Devin on for Jason today. Thanks for picking up questions. Maybe just first one I have is on EveryMundo. Seems like a really good addition to Pros. And as I -- I was doing some research, looking at the websites, seems like they have a really strong foothold within airlines, including two of the big three in the U.S. So, just wondering, what are PROS plants moving forward, kind to leverage this robust airlines customer base that they have.
Andres Reiner: Yeah. Devin, great question. We're very excited about EveryMundo and their marketing platform. For two reasons, as you mentioned, one, they have an incredible customer list. We have only 40% overlap, but more importantly, the access to shopping data -- we always talked about optimizing every shopping and selling motion and having access to shopping data and helping brands market offers and drive demand to their digital channels is very strategic. We also have done quite a bit of work on our data science team around leveraging shopping data. And we've seen that shopping data can improve demand forecasts by 20% to 40%. So, we see opportunity in the data they have, helping improve our demand forecasting capabilities. We also see opportunities beyond the travel industry, and giving B2B companies the opportunity to start driving digital offer marketing for their solutions to drive demand to their digital channels, both on a B2B and a B2B to C model. So, pretty excited about the acquisition, incredible team and looking forward to continuing to coinnovate with them.
Devin Au: Great. Yeah, no, that's definitely exciting. And then just maybe one quick one. I know United Airlines, definitely good reference win for B2B. Just curious how that pipeline might be shaping up for your travel customers, particularly, also looking to implement sort of similar B2B offerings.
Andres Reiner: I would tell you that we're -- we see good opportunities in that front. We continue to see them, and we feel pretty good about that just moving forward.
Devin Au: Great. Thanks for the color.
Devin Au: Yeah.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Belinda Overdeput for closing remarks.
Belinda Overdeput: Thank you for listening to today's call. We look forward to speaking with you at conferences and events this quarter. We will be attending the Morgan Stanley Technology, Media, and Telecom Conference on March 8th. If you have any questions following today's call, please contact us at ir@pros.com. Thank you, and goodbye.